Operator: Good day, everyone. And welcome to the IDEX Third Quarter 2008 Earnings Results Conference Call. Today's call is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Mr. Heath Mitts, Vice President of Corporate Finance. Mr. Mitts, please go ahead, sir.
Heath A. Mitts - Vice President, Corporate Finance: Thank you, Rufus. Good morning and thank you for joining us, for our discussion of the IDEX third quarter 2008 financial results. Yesterday, we issued a press release outlining our company's financial and operating performance for the three months period ending September 30, 2008. The press release, along with the presentation slides to be used during today's webcast can be accessed on our company website at www.idexcorp.com. Joining me today from IDEX management are Larry Kingsley, Chairman and CEO; and Dom Romeo, Vice President and Chief Financial Officer. The format for our call today is as follows: we will begin with an update on our overall performance for the quarter. And then provide detail on our four business segments. We will then provide an update on the recent acquisitions and restructuring initiatives. And we'll wrap up with the outlook for 2008 and the fourth quarter. Following our prepared remarks, we'll then open the call for your questions. If you should need to exit the call for any reason, you may access a complete replay beginning approximately two hours after the call concludes by dialing the toll free number 888-203-1112 and entering the conference ID 1429642, or simply log onto our company homepage for the webcast replay. As we began, a brief remainder, this call may contain certain forward-looking statements that are subject to the Safe Harbor language in today's press release and in IDEX's filings with the Securities and Exchange Commission. With that, I'll now turn this call over to our CEO, Larry Kingsley. Larry?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Thanks Heath. Good morning all. A quick summary of our operating performance for the quarter; third quarter orders of $353 million increased 8% from last year, sales of $365 million increased 9% from last year, organic growth was 1%. Operating income was down 4%, reporting operating margin of 16.7% was down by 220 basis points from last year, driven primarily by the impact of the restructuring related charges, associated with previously announced restructuring initiatives as well as the impact from acquisitions. Excluding the impact of the restructuring charges and acquisitions, operating margin was 18.6%, down 30 basis points from prior year. EPS was up 4% to $0.49, and excluding the impact of the restructuring costs, diluted EPS was up 13% to $0.53. Record free cash flow of nearly $68 million, was up 26% from last year. For the year, we're well on our way to exceeding $200 million of free cash flow or over 120% of net income, which is a record for the company obviously. So now, we'll walk through these performances by segment. For the Fluid & Metering segment, orders were up 21% in the quarter, sales increased 80%, 13% from recent acquisitions, and 4% on an organic basis. Operating income of $34 million with a 9% increase from last year, operating margin of 20.1%, was down a 180 basis points from Q3 of '07, excluding the impacts of acquisitions, operating margin was 21.5% or down 40 basis points from Q3 of last year. And that's largely due to mix within the segment. While our overall results for FMT were good in Q3, it's clear that some of the process industry and segments are slowing. So accordingly, we're taking appropriate cost actions. At the same time, our end market content has improved over the past few years. And based on our exposures, several factors lead us to believe that we can outperform the general process control market. One, with the completion of iPEK and IETG, we now have $200 million of revenue in the water, particularly the waste water services portions of our FMT strategy. Two, our energy business, primarily a liquid controls group, continues to leverage strong channel penetration, and the build-out of the refined fuel infrastructure. And three, nearly half of fluid metering now is outside the U.S and we're seeing nice traction with our international sales growth investments that we've made over the past two years, particularly in Asia and in the Middle East. And we've made significant sales, marketing and engineering investments to drive the ongoing global expansion. And now turning to slide seven; in our HST segment, orders were down 2% for the quarter, sales were flat, were down 4% organically. Operating income was up 3%. Operating margin of 20.7% was up 60 basis points compared to last year. Our core market focus as you know is the fluidic devices that are used in analytic instrumentation, clinical diagnostic applications, as well as the medical devices and key components used in medical equipment. We continued to anticipate core business growth, driven by end market demand for new generation equipment. The equipment that is... it's required for about the microliter, and the even the nanoliter applications in biotech, drug discovery and in the clinical environment. With the acquisition of Semrock, which we just announced yesterday will add product contents and applications expertise, again in the analytical instrumentation and the clinical spaces. With our continually driving product platform and integrated solutions approach, we expect positive organic growth in '09. In dispensing equipment on slide eight, orders in the quarter were down 27%, sales decreased 17% and organically we're down 21%. Margin was down 760 basis points, compared to prior year, primarily due to the lower the volume of both North America and Europe. As noted in our October 6 earnings release, our update deteriorating economic conditions and lower capital spending in the segments resulted in an order reduction for capital equipments within retail paints and coatings. In addition, we've been informed by a major retailer of their decision to use the competitors dispensing equipment in their current equipment replacement programs. We expect that the North American and European markets for this segment will remain soft through '09. To mitigate the impact from these challenges, we've taken appropriate cost actions to size the dispensing business for the expected volume softness, both in the USA and in Europe. So we're not pleased with dispensing segment performance that we've already taken action to ensure that the segment's profit will improve and continue to provide strong cash generation to IDEX. Moving now to Fire & Safety on slide nine. For the quarter, orders were up 9%, sales were up 15% and organic sales were up 30%. Operating margin at 25.3% was up 190 basis points compared to last year. As you know, we provide the pumps, the valves, the control devices as well as the full set of systems for fire suppression. We also manufacture a broad line of rescue equipments used in first response and in industrial applications. And lastly, we include our band clamping business in this segment. The three fire suppression, rescue and band clamping each contribute about a third of total sales in segment. For the quarter, our rescue tools business grew at double-digit rates. We anticipate that the rescue tools business will continue to perform well in a challenging environment as we continue to drive innovation and grow internationally. Demand from the developed countries to the new developing markets continues to be strong. The band clamping business continues to perform well, driven by demand for infrastructure related applications. Here again, we anticipate reasonable growth driven by good end market exposure and continued served market expansion. As we expected the fire suppression market is stable, while we're keeping a close watch on the domestic municipal market, demand in the global market continues to remain comparably stronger. During the quarter, the segment expanded nicely in Asia. In total for the segment, we anticipate mid-single digit organic growth driven by continued expansions in the band clamping and the risk at tools businesses. So, I'll now turn to acquisitions. We completed four acquisitions over the past three months, which will add annualized revenues of approximately $130 million, and approximately $33 million of EBITDA. On October 1, we completed the acquisition of Richter, a leading provider of corrosion-resistant pumps, valves, and control equipment. Richter's expertise is that its proprietary Teflon lines product range. The corrosion-resistant Teflon line, pumps and valves are preferred substitutes to exotic metals. The demand for corrosion-resistant process equipment continues to grow. And it rates that are higher than the overall process industry. Based on more stringent safety and environmental standards, and the heightened environmental awareness in China, India, Russia and Brazil in particularly. Headquartered in Kempen, Germany, Richter also has manufacturing in Asia. Richter's capabilities will further enable us to serve demand and specific chemical and other processing industry applications while enhancing our global position. So, Richter adds $53 million of revenue and expects to be accretive to earnings in '09. Our outlook on the global water market remains positive. The fresh water shortage and the need for portable water continue to drive demand in the developing nations, while the regulatory requirements in the Western world for pollution prevention are dictating continued municipal and industrial spend. At January, we acquired ADS, if you remember, that extended our water and waste water services offering. And we continue to build on that base. In October, we acquired two companies specialized in waste water services and infrastructure analysis. The first of the two acquisitions, iPEK is a leading provider of remote controlled systems used for infrastructure analysis. iPEK manufactures state-of-the-art imaging, sensing and data cataloguing devices, which are used to assess physically use and condition. iPEK has annual revenues of approximately $26 million and is expected to be accretive, again, to '09 earnings. IETG, the second in the waste water space, is a leading provider of flow monitoring and underground utility detection and mapping services. With IETG's expertise, we are able to offer our customers an end-to-end manage solution ensuring optimal network efficiency. IETG's presence in the UK and European market will enable us to extend our footprint supporting the expansion of deepwater, wastewater platform within the fluid metering technology segment. IETG has annual revenues of approximately $25 million. And again, it's expected to be accretive to '09 earnings. So with the addition of both iPEK and IETG we're extending our geographic footprints. We've added core product and service capability as part of our wastewater strategy. Now, we just closed the acquisition of Semrock. Semrock is a leading manufacturer of optical filters for the biotechnology and life science markets. The new available imaging techniques that are used in molecular analysis enable detection, identification and observation of biological and chemical activity and optic filters enable the selective transmission of light, which enables that microscopic fluid analysis. Semrock's expertise in this market will enable us to continue serving the growing demand for fluidic solutions, extending our offerings with existing OEMs, and provide us with significant new access to new opportunities within the health and life sciences markets. Semrock's products are purchased as part of the original equipment design, but there are also replacement devices that are purchased for post-OEM purchases once the equipment is installed. Semrock is headquartered in Rochester, New York, and has annual earnings, excuse me, revenues of approximately $20 million. And we, again, expect it to be accretive next year. As previously announced, we've begun the process to close manufacturing operations in the dispensing segments Milan facility. In addition, we've initiated companywide plans for management, administrative workforce reductions, as well as additional facility consolidation. The projected savings in costs and operating expenses resulting from these restructuring activities is expected to be between $15 million and $17 million annually, beginning in 2009. The company expects these actions to result in restructuring-related charges, totaling approximately $15 million, over the second half of '08. These costs are inclusive of the estimated $5 million to $6 million relating to the Milan facility closures. So we now wrap up with outlook for the full year and the fourth quarter. Based on the results and the assumptions we just reviewed, we anticipate full year growth rates at 10% to 11%. Organic growth is expected to be in the low single-digits. Acquisitions will contribute 7%, FX is assumed to contribute two. Based on that volume range, our adjusted EPS estimate is $2 to $2.04. For the fourth quarter of '08 we anticipate total sales growth of 8% to 10%, of growth driven primarily by the impact of acquisitions. Organic growth is projected to be down slightly driven by dispensing's anticipated performance. Based on this, we estimate the fourth quarter EPS will be between $0.41 and $0.45 per share. So with that we'll take a break and open the line to questions. Question And Answer
Operator: Thank you sir. [Operator Instructions]. And for our first question, we go to Mike Schneider with Robert Baird.
Michael Schneider - Robert W. Baird: Good morning, everyone.
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Hi Mike.
Michael Schneider - Robert W. Baird: Maybe we can start with Larry with the Fluid and Metering division. The orders for the quarter, do you happen to know what the organic rate was? And then can you give us a sense of what changed the most notably since last quarter, because orders were up 11% organically last quarter?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Yes. Let me give the numbers Mike. I just want to make sure organic orders were six, and to give you a sense for end markets Mike was that second half of your question?
Michael Schneider - Robert W. Baird: Yes, just so the orders did decelerate from plus 11 last quarter to plus six this quarter. Just what was the most notable change either by business segment or marketing and any details on why?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Yes, sure. Well, let me take a step back Mike; think about the breakout of this FMT by end markets. Because I think that gives us a broader perspective too looking forward, the three biggest segments, end markets that we serve within Fluid Metering are refine fuels and gases, what we typically refer to as energy. Water, which is mainly waste water as you know. And then you get chemical, which is they're all in aggregate about 75% of FMT's end market exposure. We continue to see a very strong demand of the energy end markets. We continue to see and have pretty good visibility toward very strong waste water performance. The only water market's softness that we've seen is in some of the lower priced pumps that are used in the associate residential and some of the later commercial applications for water treatment that goes into the boiler applications and things of that sort. And in chemical, which chemical orders did come down a bit in the quarter. Now, we think that they are not going to continue to degrade; they actually look at though they've flattened out. But that represents the largest sequential order decline Q3... Q2 to Q3. Beyond those three large segments, FMT is exposed to essentially Ag, which remains decent. The pharma and food segments and food was... did soften a bit from Q2 to Q3. And we don't think that, that likely will continue either as we look out into 2009. So, if you look at the overall process environment our overall FMT exposure there will be different end market performance expectations as we can go out planning and assumptions set for '09. We think more of the same as probably the likely outcome or energy remains comparatively strong waste water and particular the water portion again is strong. Chemical, we think, will be probably positive end market growth but not hugely so. And then the other smaller segments again, positive but not hugely so.
Michael Schneider - Robert W. Baird: And then just the backlog level in fluid and metering, given that orders again, were up 11% last quarter, up 6% this quarter. And yet organic growth was only up 4% this quarter. It looks like you must be building substantial backlog or is there some other phenomenon occurring?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: It's just building a little bit of backlog Mike. And so no, there's not a huge order push-out phenomenon that's tied into those sequential numbers.
Dominic A. Romeo - Vice President and Chief Financial Officer: Mike, you also have the impact of ADS being out for this year, which does have a longer backlog but that's on the acquisition side as we book keep orders.
Michael Schneider - Robert W. Baird: Okay. And then just a question on HST, and then I will get back in line. The core business you mentioned remains resilient. What was the core business up this quarter? And then can you talk about gas and the other portions of HST and just what's going on sequentially there?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: The core business did remain strong for the quarter. And again, let's take a look maybe broader perspective on the entire segment. As you all remember we... in the third quarter, essentially finally some OEM [ph] impact on a comp basis that we have within HST. There is just a very, very little bit of trailing comp impact in the fourth quarter. The third quarter headwind associated with those commercial OEM contracts that we've been subsetting for the course of this year was fairly substantial. It's more than 600 basis points of growth for the segment. So, if you pull that out without delving into all the various subset with HST, you'd see positive growth in HST of maybe about 3, 3.5, 4%.
Operator: Any further questions, sir.
Michael Schneider - Robert W. Baird: No. Thank you.
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Thank you, Mike.
Operator: And we go next to Charlie Brady with BMO Capital Markets.
Charles Brady - BMO Capital Markets: Hey, thanks and good morning. Just to have your comments on FMT in some of the process market slowing, could you just give a green Larry, where you're seeing that slowing?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Sorry HST or FMT?
Charles Brady - BMO Capital Markets: FMT?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Yes. FMT again, we saw between Q2 and Q3 quarter rate slow in the end-markets of our chemical process applications. And we did see the same in some of the commercial food applications and in some of the OEM equipment prototype to residential applications or things that are going to cycle I think more so with the construction markets. Other than that, we saw energy again very strong. Water, particularly the waste water pieces strong, Ag remains strong. And most of the other smaller segments are a mix of, down sequentially but still remain in positive growth territory.
Charles Brady - BMO Capital Markets: And with regard from the dispensing and the decline you saw in the quarter, has that stabilized subsequent to the end of the quarter or has it gotten any worse?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Dispensing basically sell-off end of August, beginning of September it was principally zero. There is a number of things impacting dispensing, some of which is financing for equipment both here and Europe. But, also dispensing always been a pretty lumpy business and there aren't any large projects right now that we're betting on. In terms of how you would run-rate dispensing out of Q3 forward, we don't think it gets worse on a year-over-year basis. But we are not assuming any immediate kick backup. And the major components to that are there aren't as many major programs other than the retailers or new equipment right now in total. New store openings are obviously way-off. And we think that where cash is key, the smaller retailers are going to preserve their capital, and they're probably not going to spend in the short-term. As a possibility that given pent-up demand, we could see some of that return at some point, little part of next year, but again not seeing any further deterioration, but certainly not expecting any immediate kick back-up.
Dominic A. Romeo - Vice President and Chief Financial Officer: Again Charlie, Larry our prepared comments... our Q4 guidance is for 20% decline in dispensing. So, it's fairly consistent with what we've experienced in 20% plus, consistent with what we've experienced in Q3.
Charles Brady - BMO Capital Markets: Okay. And just one last question, I'll get back n the queue. With regard to the acquisitions you've made, specifically iPEK and IETG, to what degree any, do they rely on municipal or government types funding for the projects that they are selling into?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Yes. It's a great question. Charlie, now the reason that we like ADS, iPEK and IETG is that those businesses are service models that are... those are funds that are spent ahead of the major capital outlay. And then typically use to determine the capital outlay. And so, we don't see the same potential impact as where perhaps major capital programs may get delayed because these things typically are at a programmatic basis, get spent out of the current funding basis. So, we think that whether it's a municipality looking at just understanding their infrastructure requirements in preparation for major outlay or to determine if that can be spent now or later that the funds associated with the ADS, iPEK and the IETG business model will remain fairly strong. The indications that we're seeing now out of ADS, which obviously we want longer since January this year, certainly support that. So again, we don't thing we're going to see the dramatic impact if there is ongoing constraint around capital outlay from major projects as some of the others were associated with that major equipment production.
Charles Brady - BMO Capital Markets: Thanks.
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Yes.
Operator: And for our next question, we go to Ajay Kejriwal with Goldman Sachs.
Ajay Kejriwal - Goldman Sachs: Good morning, gentlemen.
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Hi, Ajay.
Ajay Kejriwal - Goldman Sachs: Upload the restructuring initiatives here, wondering if you could talk about that time line, when these actions will be completed and thoughts on whether there could be more down the line or you feel good about the cost structure post the restructuring?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Yes. Ajay, if you look at what we've already initiated, obviously we are aware we're in a relatively uncertain environment, we decided to go ahead and not understanding what the '09 top line opportunity look like. But certainly not assuming all dim and bloom either, just to get ahead of it on the cost side. And so, the $15 million to $17 million of cost actions that we essentially have already initiated, we believe will be largely complete by the end of the year with some trailing impact into the first part of the first quarter will set us up very nicely for all of '09. So, if you want to think about the impact here on an EPS basis, we should hopefully get $0.15 or so out of the cost actions that are already well underway for '09.
Ajay Kejriwal - Goldman Sachs: And these actions put you on a good footing versus your real economic environment for 2009?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Yes. Based on the way that we are modeling, again within the unknown, these cost actions... well, you think about frankly the combination of the acquisition impact, the EPS next year, the cost action impact to next year, we think that the price versus material inputs equation for next year will be a net positive. We think with what we know now that we are doing the right thing structurally to set ourselves up for a good '09 EPS insurance plans if you want to call that.
Ajay Kejriwal - Goldman Sachs: Great. And maybe some more color on dispensing on the loss of that contract. What was the issue? Was it pricing, was it product features, and are other there contracts that could be at risk, maybe some more color around that contract.
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Yes, sure Ajay. Essentially, it was commercial decision. It was decision by one of the U.S. retailers to go ahead and use someone else's equipment. There is, for a number of reasons, we can't really get into a lot of specific comments. And, there are some other issues that play here in the dynamic of the project itself. But, it was basically a decision by the customer to use a competitor's technology that we, for commercial reasons we're calling.
Ajay Kejriwal - Goldman Sachs: Right. And what about your assessment or threats or risk with other contracts in the U.S.?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: No. We don't see there. This thing is been a still over that are associated with Ajay.
Ajay Kejriwal - Goldman Sachs: Okay. Well, thank you.
Larry D. Kingsley - Chairman, President and Chief Executive Officer: You bet.
Operator: For our next question, we'll go to Christopher Glynn with Oppenheimer.
Christopher Glynn - Oppenheimer & Co.: Hi, thanks. Can you just review again, the allocation of the restructuring actions besides dispensing, where else they are taking products?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: We haven't broken them out outside of dispensing Christopher. So, the answer is we would leave it on a companywide basis using the $15 million to $17 million of companywide inclusive of the Milan and things.
Christopher Glynn - Oppenheimer & Co.: Okay. And, a little bit on... any specificity around the degree of accretion from the acquisitions or color on there, historic growth rates or market penetration share, things like that?
Dominic A. Romeo - Vice President and Chief Financial Officer: In the analysis for Semrock, we gave you the EBITDA and the sales as we saw the run rates of all four businesses. We won't have a view on intangibles for a few weeks yet. So, we'll have to guide on that later. But the growth rates are excellent. And as Larry mentioned, these are great fits with our existing portfolio. So you get a good feel for the revenue and the EBITDA in the Semrock release.
Christopher Glynn - Oppenheimer & Co.: Okay, great. Thank you.
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Sure.
Operator: Go next to Walt Liptak with Barrington Research.
Walter Liptak - Barrington Research: Hi, thanks. Good morning.
Dominic A. Romeo - Vice President and Chief Financial Officer: Hi Walt.
Walter Liptak - Barrington Research: And I may have missed this, but the organic orders, could you go through the four segments, and tell us exactly what the order growth was per segment?
Dominic A. Romeo - Vice President and Chief Financial Officer: Sure, Walt, 6 or 7 for FMT. If we look at HST, remember, we've got the impact of the contracts that were actually this year, so the organic growth rate, there is about negative for dispensing, down 25% to 30%, and our FSD up 7% or so organically.
Walter Liptak - Barrington Research: Okay and --
Larry D. Kingsley - Chairman, President and Chief Executive Officer: The growth rates for orders followed are our sales growth rates by segment plus or minus.
Walter Liptak - Barrington Research: Okay. And then just a couple of more quick ones. The European economies have declined rapidly. I wonder what the outlook is for the Fire & Safety division. As we look out, I mean, are there growth initiatives that... is that more Asia driven? Can you keep your international part of the business growing next year?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Yes, Walt, what we're seeing now in the way of growth is essentially coming out of the lesser developed country markets for the most part. We're seeing some of the markets that we've talked about in prior calls continue to spend on both the fire side and particularly on the rescue side. So it's Middle East, Asia, Eastern Europe, and we're very well positioned there now. As you remember, we acquired Tingley [ph] and really afford, and that gives us the great position to serve Asia, but also great cost platform to serve some of other emerging country markets. The rescue tools business out of the two continues to see new country marketplace orders that have historically never done so. And then piggy-bag those with expense hence they work their way around the country by regions. So we think that the lesser developed country markets will remain quite strong. Europe, on a municipal spend basis is slightly comparatively better than the U.S as Western Europe. And we think also that remains pretty good. So, now we are expecting huge things out of our fire suppression side as we look forward. We are seeing stable market. On the rescue tool side, we still have hopes for a very nice positive growth contribution as we look into next year.
Walter Liptak - Barrington Research: Okay. Okay, and then lastly, if I could just ask sort of a leading question on 2009. You kind of set it out saying that you've got this... the benefits in 2009 of $0.15, accretion from acquisition, better price cost. Are you looking for an up year in earnings or would you expect an up year in earnings in 2009?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Just to be clear, Walt, what we're saying is some $0.15 accretion as a function of the restructuring costs in these cost savings, excuse me, the cost savings associated with restructuring activity as we head into '09. Acquisition impact would obviously be above beyond that and probably figure $0.10 or so accretion for '09. Something in the neighborhood. The EPS target at this point is obviously a function of organic growth. We're early in our business planning process for '09 but we don't expect to certainly see a down year on the EPS line. Based on the three components that I mentioned, the cost savings that are essentially money in the bank as we head into the beginning of the year, the acquisition impact which should be very solid and I think pretty well already done and doesn't include obviously '09 acquisitions. And then the price versus direct material equation that we're anticipating for next year, just those three on top of even Q4 run rate EPS gets us to a little bit of EPS growth. So I think that even conservative base rate modeling without understanding top line for '09 completely yet. But with some pretty known components already, nicely set up for next year, we feel good about at least EPS preservation if not decent growth.
Walter Liptak - Barrington Research: Okay. That sounds great right now. Okay, thanks very much.
Operator: For our next question we go to Matt Summerville with KeyBanc.
Matt Summerville - KeyBanc Capital Markets: Couple of questions, what will drag be in the fourth quarter for HST on those contractual roll-offs?
Dominic A. Romeo - Vice President and Chief Financial Officer: The minor, couple of 100 basis points.
Matt Summerville - KeyBanc Capital Markets: Okay. And then with respect to dispensing this... the development you had with one of your customers is more competitive bidding process. I guess going forward what's your strategy and your response going to be, if this is now more of a permanent thing with this customer?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Matt, we're not trying to dodge the question. But put simply there is elements of where we stand at this point, with the competitive dynamic that we can't really speak to in lot of detail. With regard to our customer relationship remain strong, and we continue to work with the customer. We continue to sell them equipment and service equipment for them. And we expect a long relationship.
Matt Summerville - KeyBanc Capital Markets: Historically, I think you guys have done somewhere in the range of 2 to 3 points of price per year. Are you thinking for 2009 you will be able to get something similar?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: For the last few years, we've gotten between 170 and 220 basis points. So, not quite three points on price but more like 180-ish. Next year might be a slightly more difficult environment, but again on the cost side, particularly material inputs, it's going to be, we think, a much better equitation. So you probably... if we had to guess, we are early in the process and preplanned. But now price might be a little more difficult next year. Costs will be no better. And the other thing to remember, we are a customized product business. Most everything we do is engineered to a customer specific requirement. And therefore... and we probably won't see a commodity like relationship to price that would affect us in any dramatic way. So it's perhaps the case that we see a little less upside, but not a dramatic negative impact as a function of overall commodity pricing that we're seeing.
Matt Summerville - KeyBanc Capital Markets: Great, thanks a lot.
Operator: We go next to Mike Schneider with Robert Baird.
Michael Schneider - Robert W. Baird: Larry just some follow-ups and maybe first on HST. Again, could you just call on specifically what the core analytical businesses grew in the quarter, so we can separate kind of the OEM hit from what's going on in the core business that you've focused on?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: 4% organic, Mike.
Michael Schneider - Robert W. Baird: 4%. Okay. Also --
Larry D. Kingsley - Chairman, President and Chief Executive Officer: A little better than that.
Michael Schneider - Robert W. Baird: So, if you scrub then the OEM contract, divestitures or endings [ph] is or however you like to phrase them. So even the core gas and industrial businesses grew in the quarter?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: That's correct.
Michael Schneider - Robert W. Baird: Okay. And then you say you expect positive organic growth rate for HST in 2009. Can you give us your assumption as to recession, no recession for I guess, imbedded in that forecast?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Current degree of economic uncertainty gets us to what we said in my prepared remarks, wouldn't go in anymore. Specific comments I think it at this point Mike. But we are largely banking on the fact that we've got customers that are going to develop new platforms. They've already got specific launch plans. We're on those platforms. We see new volume opportunities that come out of what content for a platform, under some of the newer stuff coming out. So the adverse impact is going to be their unit volume, and that's the part that's obviously harder to determine at this point.
Michael Schneider - Robert W. Baird: And if you assume those unit volumes decline at your customers for the core businesses, in line with the economy.
Larry D. Kingsley - Chairman, President and Chief Executive Officer: We haven't assumed that our customers in total, in that core HST space are going to see equipment volume increases. That's all up, that assumption probably hasn't down slightly with our content increases.
Michael Schneider - Robert W. Baird: Okay. And then, the boost from the OEM contracts in 2009, just on comparisons stamp, do you have a dollar amount, or a percentage point boost that growth rate that HST actually benefits in 2009?
Dominic A. Romeo - Vice President and Chief Financial Officer: For the full year Mike, I'd say it's about 3% or 4%, maybe 5%.
Michael Schneider - Robert W. Baird: Okay. And then just a question on HST, the rescue tools business growing very nicely as you mentioned on international orders in particular. Have you seen any cancellations domestically or any signs indeed that tighten municipal budget here or broader, having an impact in existing programs?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: The domestic sales are flat to up very slightly and we have seen a couple of cancellations. And that would be... only I think couple more than we've seen typically in a quarter. So it's not a massive concern out of any of the domestic municipal spending programs for rescue tools. As you know on the fire side and overall truck demand has been down now for a few quarters. And so it's not continued to deteriorate that's been down versus historic run rates. Rescue tools continue to be a pretty important purchase item and something that gets budget clearance quickly out of the municipality, that's the global comment, not just the U.S.
Michael Schneider - Robert W. Baird: Okay and on the acquisitions, the D&A levels for the deals, I presume you're still finalizing the figures. But can you give us a rough sense of what we should assume for the four deals and as far as incremental D&A on an annualized basis?
Dominic A. Romeo - Vice President and Chief Financial Officer: Mike, at this point, we can't. You could run rate your own model based on our track record but obviously with completing the last three and the last week or so we're still little early in the process so that the EBITDA that we've given you in the current announcements where we are right now. So we'll advise on that when we talk next time.
Michael Schneider - Robert W. Baird: In ballpark terms, would $10 million of the $33 million in EBITDA be roughly DA?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Mike I am not going to let you tune me down right now. We're really too early in the process but you can run rate the typical... our internal assumptions are the typical run rates of prior acquisitions. These are all very high cash flow generating companies with low capital. So there is a fairly substantial analysis to go through the customer list and the intangibles as you know.
Michael Schneider - Robert W. Baird: Okay. And then on interest expense, what run rate are you assuming for dollars of interest expense in Q4 guidance?
Dominic A. Romeo - Vice President and Chief Financial Officer: We haven't gotten that prescripted yet Mike, other than the fact, the acquisitions will be probably breakeven once we look at the incremental interest expense and the impact of intangibles. And again, it may whittle a little bit just based on timing.
Michael Schneider - Robert W. Baird: Okay. Then maybe a different way to attack, it is the $233 million in cash here on the balance sheet, how much of that is left after paying for the final deal here with Semrock?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: About $50 million Mike.
Michael Schneider - Robert W. Baird: Okay. And should we assume you maintain that rate and just pay down the revolver then going forward?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: That would be a correct modeling assumption Mike.
Dominic A. Romeo - Vice President and Chief Financial Officer: Yes.
Michael Schneider - Robert W. Baird: Okay. All right, thank you again guys.
Larry D. Kingsley - Chairman, President and Chief Executive Officer: You bet Mike.
Operator: For our next question, we go to Wendy Caplan with Wachovia Securities.
Wendy Caplan - Wachovia Securities: Thank you. Good morning.
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Hi Wendy.
Wendy Caplan - Wachovia Securities: Historically IDEX has been a collection of primarily book and ship products with some exceptions including dispensing, which has been more project related, you mentioned lumpy, somewhat longer lead time segment. So, it's somewhat surprising to me and somewhat confusing that that was the business that was called out as being an issue for the quarter. Can you share with us, which part of European slowing, fewer programs in terms of retail programs, lots of the contract was the surprise? And I guess the follow-on question would be, what degree of confidence that... do you have that your visibility is better today than it was, say, three months ago?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Yes sure, Wendy, let me come back at hopefully comprehensive regi [ph]. First of all, it's really not a much longer lead component to dispensing versus IDEX. Now it is more of a project-related business. But the book to ship window for that business is still relatively tight. And we're at... as you know, very good at turning what is that lumpiness operationally. So, we don't typically see more than a couple of months worth of actual bookings visibility to project associated shipments. What the trail-off in the third quarter, and during the quarter, as I said toward the end of August, we weren't sure in Europe that it was first... the typically European seasonality or there really was some financing associated constrains around purchasing. But there was essentially two things in Europe; first, that we believe that where the smaller customer didn't have access to financing or inclusive of leasing capability, they have deferred the purchase. And therefore they are running on an aging equipment fleet for the time being. Now that won't continue because at some point, the equipment doesn't work, you've got to replace it. But they are limping along short-term. The other European piece that as you remember the paint companies buy the equipment and then they allocated out in many cases to the wholesale or retail channel as part of a comprehensive contract for the actual paint supply. And the paint companies pulled in their associated purchase strings too in the third quarter in Europe. So, we saw them pretty quickly pull them in that. We think there is some opportunity for some of that to relax as we give into the middle part of next year, but same dynamic applies. They are using in many cases in those applications, equipments that perhaps over than it should be. And the same replacement math that we've always talked about applies, is just whether or not short-term they get by. In the U.S., we not expected a lot other than new store openings components for the year for that matter in the quarter. But there is nothing there that's been better buoyancy either. So we haven't seen any new store openings. And of the major retailers, most of them have at least short-term plan down on their CapEx. We know that some of them are already planning for continued spend maybe at a very slightly reduced rate versus where they were first half of '08 as they go into the first half of 2009. But it's primarily when the smaller guys in the U.S., who, again, have seen some very unexpected financing constraints that manifested during the quarter that has held-off on their purchases and that drove most of that. The customer agreement, sorry, the customer contract that I spoke to just a minute ago without going through it all again in detail was not a large part of our assumptions set for the quarter. So, that wasn't a big surprise. It had a lot more to do with just the... those folks that have made a cash decision to push something out we think we assume short-term kind of limp along on what they've got.
Wendy Caplan - Wachovia Securities: So, just to kind of understand this a little better, I mean I know that you had talked about the small guys in the U.S., so that wasn't new news. And, so it's primarily the fact that Europe didn't recover the way it might have after a vacation filled August slowdown that led you to kind of raise the flag on this segment?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: The largest portion of the Q3 in quarter change and book to ship rate came out of the smaller and mid size European customer commitments. And, that combined with the fact that in any business you always have offsetting elements. There was not an offsetting element otherwise within global dispensing during the quarter. So, yes, your point is correct.
Wendy Caplan - Wachovia Securities: And for their other situations across IDEX that you expand, look across all the businesses that maybe could portend future issues like this in terms of your maybe I'm sure hope is not the right word. But that you are seeing some weakness, but you don't... you are not quite at the point to pull the plug in terms of aggressive cost cutting or, do you think that you are seeing it all? Is that a fair question, you know what I'm saying?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: I know what you're saying. Wendy, I think that the biggest difference between dispensing and the rest of IDEX is that some portion of the dispensing customer base does require financing to buy their equipment. So, it's a different kind of purchase than what you see anywhere else in the company. We basically, typically, are either a new equipment or an MRO type of purchase. And as you know Fluid Metering is combination of the two as are the other segments. So, there isn't a dynamic of someone seeking financing to buy the equipment now there is there are the discretionary nature of the timing of the purchase as there is in dispensing. So, do we have complete grip on '09? I'd say, no. I don't think the world does at this point. We've gone ahead and plan for reasonably conservative organic assumption set, based on what we see right now and put us in good cost position. And we always are going to be closely watching what we think is happening. If we need to get more aggressive on cost, we remain capable of doing so. But at this point, we think that the remainder of the company doesn't suffer the same kind of short-term potential issues because there isn't a purchase dynamic like there is in dispensing around that both the financing requirements as well as the discretionary nature of the timing of the purchase.
Wendy Caplan - Wachovia Securities: Okay, that's fair. Thank you. And finally in Fire & safety and Diversified can you... are you making the assumption that the mix should continue to remain favorable towards rescue tools and banded?
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Yes, yes.
Wendy Caplan - Wachovia Securities: Okay. Thank you very much.
Larry D. Kingsley - Chairman, President and Chief Executive Officer: You bet, Wendy.
Operator: And we go next to the Jimmy Kim [ph] with RBC Capital Markets.
Unidentified Analyst: Good morning.
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Hi.
Unidentified Analyst: I wanted to get some clarification on your guidance. By my math, if you have Q4 sales going up by 4%, that gets you to the low end of your '08 revenue guidance of 10%. And I think the guidance you gave for Q4 was 8% to 10%?
Dominic A. Romeo - Vice President and Chief Financial Officer: Right, Jimmy. Without getting too specific, I think you got... the top line guidance we've given includes the recent acquisitions as well. So, you kind of got to do the math on what we've announced in terms of the four acquisitions for the quarter. And that I think is the bridge on your top line commentary. The currency side of this is largely flat year-over-year, maybe a bit of the drag. So, that the balances and assumption on organic, and I would tell you at this point, we've looked at organic and there is a range in our assumption set. But I would all get into descriptive, that's the combination of those events that result in the low and top end of the range.
Unidentified Analyst: Okay. So, expect maybe flat currency and probably double-digit acquisition?
Dominic A. Romeo - Vice President and Chief Financial Officer: That's correct. That's actually what's on the slide. It's 8% to 10% in total acquisitions, 10% to 12%.
Unidentified Analyst: Got it. Thank you.
Larry D. Kingsley - Chairman, President and Chief Executive Officer: You bet.
Operator: And with that, ladies and gentlemen, we have no further questions on our roster. Therefore, Mr. Kingsley I'll turn the conference back over to you for any closing remarks.
Larry D. Kingsley - Chairman, President and Chief Executive Officer: Okay, thank you. Let me just follow on couple of questions that were asked, and make sure a couple of points are clear. Definitely, the economic outlook, certainly on a macro basis is uncertain. We clearly expect that the organic environment will be more difficult as we go into next year. And at the same time as we've talked about and quantified, the combinations of actions that are already in place and underway, get us off to a great start with cost, actions that will largely be complete, as we enter the new year, so well ahead on that side. And, the new acquisitions, which will have a nice positive impact next year as well. The other thing that we didn't talk about too much or as much in the call is our balance sheet is in fantastic shape. Post these transactions we have plenty of capacity, should we choose to continue as we enter into the New Year with $220 million of capability available, plus the free cash that we'll generate through the course next year which... now just, if you look at run rate this year, plus a little bit of improvement irrespective of the organic assumptions that get you to somewhere north of $220 million of free cash generation, even more than that next year in all these acquisitions. So obviously, we've got plenty of balanced sheet capability at this point that continue to execute our strategic growth plans. That being the case, we really think that it becomes more of a buyers' market as we head into the year and that it sets itself nicely or continuing to execute the things that we've got in our proprietary file. So, in general and in summary, I'd say we don't take a fairly sober look at the general market, and with the unknown as the assumption, we planned in a very appropriate fashion to get that cost now, to set ourselves up nicely for next year. And, we think it's a very appropriate planning assumption set as we now work through the mechanics of understanding '09 and a lot of detail. I want to thank everybody for joining. And we look forward to seeing you off soon.
Operator: And again, ladies and gentleman, this does conclude the IDEX's third quarter 2008 earnings results conference call. We do appreciate your participation. And you may disconnect at this time. .